Operator: Good day, ladies and gentlemen, and welcome to the First Quarter 2014 Brady Corporation Earnings Conference Call. My name is Denise, and I'll be your operator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Mr. Aaron Pearce, Director of Investor Relations. Please proceed.
Aaron J. Pearce: Thank you, Denise. Good morning, and welcome to the Brady Corporation Fiscal 2014 First Quarter Earnings Conference Call. During the call this morning, you'll hear from Tom Felmer, Brady's CFO and Interim CEO and President. You will also hear from Matt Williamson, President of Identification Solutions; and Scott Hoffman, President of Workplace Safety. Stephen Millar, President of Die-Cut and Asia-Pacific is also with us today on the call. After the prepared remarks by the team, we'll open up the call to questions. The slides for this morning's call are located on our website at www.bradycorp.com. The prepared remarks will begin on Slide #3. Please note that during this call, we may make comments about forward-looking information. Words such as expect, believe, forecast and anticipate are a few examples of words identifying a forward-looking statement. It's important to note that forward-looking information is subject to various risk factors and uncertainties, which could significantly impact expected results. Risk factors were noted in our news release this morning and in Brady's fiscal 2013 Form 10-K filed with the SEC in September 2013. Also, please note that this teleconference is copyrighted by Brady Corporation and may not be rebroadcast without the consent of Brady. We will be recording this call and broadcasting it on the Internet. As such, your participation in the Q&A session will constitute your consent to being recorded. Thank you. And I'll now turn the call over to Tom Felmer. Tom?
Thomas J. Felmer: Thanks, Aaron. Good morning, everyone, and thank you for joining us. In response to a soft organic sales growth, we've made significant portfolio changes in fiscal 2013. We sold several smaller non-core businesses, announced that we are seeking a buyer for our Die-Cut business, and we completed the acquisition of PDC, which was the largest acquisition in the history of Brady Corporation. PDC is a leader in healthcare identification business and gives Brady a strong entrance into the healthcare space. Sales in the healthcare industry now represent 20% of Brady's total revenues. We also reorganized our business -- strong global business platform, that resulted in a well-thought-out business structure, that brings us closer to our customers and more effectively supports our growth. The global economy, although sluggish in some pockets, appears to be moving in the right direction, with positive signs coming out of both Europe and the U.S., but not yet enough to give us a meaningful tailwind. As we look to the remainder of our fiscal year, we are focused on 5 key items. First, we are focused on returning our Workplace Safety business to organic growth in the second half of this year. We are expanding a multichannel growth marketing model by improving our global web capabilities and providing a broader set of Workplace Safety products. We're making significant investments in this business and because of the time it will take to deliver results with these investments, we expect Workplace Safety segment profit to decline in fiscal 2014. However, we are laying the groundwork for a scalable multichannel business model that we believe will return this business to organic growth with a solid profit margin for the future. Second, our organic growth initiatives in our Identification Solution business are focused on increasing our sales force in the United States and Western Europe, as well as in our global strategic accounts in focused markets, including healthcare. We are also expanding in faster-growing geographies such as Central Europe, Middle East and Africa and selected countries in Asia. Third, we are engaging a process to divest our Die-Cut business. We are progressing with the divestiture process, and once the Die-Cut business is sold, our Asia business will be focused almost entirely on our Identification Solution business in China and Southeast Asia. The divestiture process is ongoing, and we believe that will be completed within the fiscal year. Fourth, we are focused on improving customer service levels and reducing our cost structure through the consolidation of selected manufacturing facilities. Although we expect minimal financial gains from these actions in 2014, these actions are meaningful to us, as we look to streamline our cost structure for 2015 and beyond. And lastly, we are focused on increasing our business rigor and competitiveness. We are putting more energy into creating the most innovative products in our industries and providing a better customer experience than every one of our competitors. We are focusing all 7,400 Brady employees in making Brady a better business every single day. I'm confident that the actions we are taking will accelerate future sales and profitability growth. Looking at the first quarter of fiscal '14, our ID Solutions business continued to show positive results, as organic sales were up 3% and segment profit increased from $44 million last year to $50.1 million this year. In PDC, which is included in the ID Solutions segment, performed at a level consistent with our expectations, providing incremental revenues of $42 million and EPS of $0.05 this quarter. Our Workplace Safety business experienced a decline of organic sales of 10%. Although we experienced organic sales decline in the U.S. and Europe, we are starting to see some positive signs, as our customer files are growing again, indicating an improvement in the fundamental health of this business. Our Australian business continues to be impacted by economic weakness, however, there appears to be positive economic signs emerging out of Australia as well, which could bode well for the second half of the year. Although this 10% decline is a larger decline than we anticipated, we continue to expect that WPS organic revenues will return to grow in the second half of the fiscal year. Our third global business platform is Die-Cut. As previously announced, we're actively seeking a buyer for our Die-Cut business. As such, the Die-Cut business platform is included in our financial statements as a discontinued operation. Earnings from discontinued operations net of tax increased from $1.4 million in last year's first quarter to $6.5 million in the first quarter of 2014. This improvement was primarily caused by not having a current year income statement impact from a $3.4 million loss and the sale of Brady's Medical Die-Cut business in the prior year, as well as the removal of approximately $3 million of depreciation and amortization expense in the first quarter of fiscal 2014 as the assets held for sale are no longer subject to depreciation or amortization. Let's turn to Slide 4 for more detail on our first quarter financial results. Sales from continuing operations were up 13% to $306 million in the first quarter. The acquisition of PDC added 15.6%, foreign currency translation decreased sales by 0.4% and organic revenues were down 2.2%. Our first quarter gross profit margin finished at 51.3%, down from 55.2% gross profit margin in last year's first quarter. SG&A expense was 36.8% of sales compared with 36.6% of sales last year, and EPS from continuing operations excluding restructuring charges was $0.42 in the first quarter compared to $0.50 in the prior quarter. Our tax rate on continuing operations, net of restructuring, was 32.6% in the first quarter. As we've commented in the past, we expect volatility in our quarterly tax rates, but still anticipate a full year tax rate in the mid- to upper-20% range. This higher tax rate in Q1 equates to approximately $0.03 of EPS when compared to the tax rate anticipated to a -- for the full fiscal year in 2014. Moving to Slide 5. Our full year guidance for fiscal 2014, our EPS for continuing operations guidance remains unchanged at $1.80 to $2, exclusive of restructuring charges. We anticipate organic sales to range from a slight contraction to slight growth in fiscal 2014, with organic sales strongest in our Identification Solutions business. We also expect organic sales to be down in the second quarter of the year and returning to growth in the second half of fiscal 2014, as our initiatives to improve our Workplace Safety business begin to take hold. This guidance is based on current exchange rates, depreciation and amortization of $45 million to $50 million and the full year income tax rate in the mid- to upper-20% range, with a higher tax rate in the first half of the year compared to the second half of the year. We believe restructuring charges will approximate $30 million in fiscal 2014, due primarily to facility consolidation activities. The timing of facility movements could change between now and the end of the fiscal year, which could potentially impact the amount of restructuring charges recorded in 2014. Our guidance also included -- includes capital expenditures of approximately $40 million. Slide 6 is a summary of our quarterly sales trends. Revenues were up 13% in the quarter to $306 million. Moving along to Slide 7. You can see the trending of our gross profit margins. Our first quarter gross profit margin was 51.3%. If we exclude the impact of PDC, our first quarter gross profit margin would have been 52.5%. We continue to focus on driving gross profit improvements through lean, strategic sourcing and the reorganization activities that I mentioned earlier. However, the recent declines in Workplace Safety solutions organic sales volume, combined with the lower gross profit margins from the PDC acquisition has resulted in a reduced gross profit margin when compared to the 55.2% incurred in last year's first quarter. On the right-hand side of this slide, you can see the trending of SG&A expense. SG&A expense was up from $99 million in Q1 of last year to $112.7 million in Q1 of fiscal 2014. The primary reason for this increase in SG&A is the addition of $13 million of SG&A from PDC. Without the acquisition of PDC, SG&A expense would have been approximately flat with the prior year. Moving on to Slide 8. You can see that our diluted EPS from continuing operations, excluding restructuring charges, was $0.42, which compares to $0.50 generated in the first quarter of last year. We've summarized our cash generation on Slide #9. During the quarter, we generated $25.6 million of cash from operating activities, which is an increase of $5.4 million over the $20.2 million of cash flow from operating activities generated in the first quarter of last year. We also returned $10.1 million to our shareholders in the form of dividend and repaid $24 million of debt, all resulting in an ending cash balance of $81.9 million at October 31, 2013. On Slide #10, you can see that our balance sheet remains strong even after completing the largest acquisition in Brady's history in the second quarter of last year. Our gross debt-to-EBITDA remains at approximately 1.6 and our net debt-to-EBITDA is 1.2, inclusive of the trailing 12 months of PDC's EBITDA. Having a strong balance sheet in such a strong cash generating business puts us in solid financial position to fund future growth opportunities. I'd now like to turn the call over to our Presidents for a review of our global business platforms. Let's start with Matt Williamson, President of ID Solutions. Matt?
Matthew O. Williamson: Thanks, Tom, and good morning, everyone. Please turn to Slide #11 for the ID Solutions review. Sales increased 29% to $208 million in the first quarter. The acquisition of PDC contributed 26.2% to sales, foreign currency translation provided a slight revenue decrease of 0.2% and organic sales increased 3%. Looking deeper into our first quarter results, our Brady brand business in North America remains strong, as the U.S. continued to experience organic sales growth, with this quarter marking the ninth quarter in a row of organic sales growth. We also saw improved performance in Canada and Mexico. The consistent results in the U.S. are driven by our strong relations with a distributor network, new innovative products, excellent customer service and growth with our strategic customers. Our business in Brazil is demonstrating signs of improvement despite unfavorable economic conditions and the loss of share at certain OEM customers, which were the main contributors to its mid-single digit organic sales decline this quarter. Signs of improvement are seen in our customer service, product quality and business development. We expect Brazil to return to organic sales growth later this fiscal year. Our business in EMEA experienced mid-single digit organic sales growth this quarter. This growth was driven by Central Europe, the Middle East and Africa, seeing high-single digit growth and an improvement in the overall economy in Western Europe. We expect to see low single-digit organic sales growth in EMEA for the remainder of this year, with growth in Central Europe, Middle East and Africa being stronger than Western Europe. Our Asian business was strong due to excellent results with OEM electronic customers. In addition, we continue to diversify our OEM customer base beyond electronics. As the business continues to transition from an integrated business with Asia Die-Cut, to a stand-alone business focused on Identification Solutions, the emphasis will be on providing high-quality, region-specific products and exceptional customer service to a broader group of customers. Sales to OEM customers in China were particularly positive for product identification. Due to an increase in demand, we are expanding our production equipment capacity and capabilities to better meet the needs of our customers. We have a small market share in China and with a stronger focus on our core ID products, our growth is not as much about macroeconomic growth, as it is about taking share of our high-quality, high performance niche in a very fragmented market. PDC is predominantly focused on the healthcare industry and performed well in the first quarter with sales of $42.3 million, which were approximately flat with the same period in the prior year. PDC's health care business correlates with U.S. hospital admission rates, which were down over -- year-over-year. Looking forward, we anticipated a continued slight decline in hospital admission rates, thus our growth in healthcare will come from taking share and leveraging sales synergies across the U.S. and Western Europe, primarily with our existing People ID business. In addition to our expansion in industries such as healthcare and focused geographies such as China and Central Europe, the keys to success in ID Solutions hinge on our strategies of consistently meeting the needs of our existing customers, converting new customers by providing an unrivaled customer experience supported by strong industry expertise and a strong stream of innovative new products. For instance, on Slide #12, I'll outline certain new product launches this quarter including the new BMP 41 portable printer, which is Brady's newest printer for labeling electrical telecommunications, and in general, industrial environments. So a rugged solution that gives users the versatility to create individual or continuous labels or wire markers on the job site and for many different applications. Segment profit increased 14% to $50.1 million in the quarter compared to $44 million in last year's first quarter. PDC was a significant driver of our increased segment profit, adding approximately $8.3 million in the quarter. As a percent of sales, segment profit was 24.1% this quarter, compared to 27.3% in last year's first quarter. PDC was dilutive to our segment profit percentage. Without PDC, our first quarter segment profit would have been 25.2% of sales. The decline in profitability compared to the prior year primarily relates to our non-repeat material savings in the first quarter of last year and slightly higher expenses relating to our facility consolidations this fiscal year. As we look to the remainder of 2014, we anticipate continued low single-digit organic sales growth, with our strongest areas of growth being the United States and Asia-Pacific. Although economic conditions appear to be improving in Europe, we do not anticipate significant economic tailwinds. However, we believe our market position and strategy will help us maintain and possibly gain share with new products and further penetrate our focus industries. Looking at segment profit. We expect that PDC and increased incentive compensation will provide a headwind to our segment profit percentage, wherever we expect us to be offset by the business simplification savings and other productivity gains. Scott Hoffman will now report on Workplace Safety. Scott?
Scott R. Hoffman: Thanks, Matt. And thanks to everyone for joining us today. Please turn to Slide #13, an overview of Workplace Safety financial results. Sales decreased 10.6% to $98 million in the first quarter. Foreign currency translation provided a modest revenue decrease of 0.6% and organic sales declined 10%. Looking deeper into our results, our Australian business experienced a 16% organic sales decline in the first quarter. Although our market share may have declined slightly, we believe that our primary reason for the sales decline is due to larger macro issues as the Australian economy continues to experience economic weakness. While our Australia business includes sales into many diverse industries, we have a higher concentration in industries that are tied to manufacturing, nonresidential construction, and most importantly, mining, all of which are down in the quarter. The Workplace Safety business in the Americas experienced an approximate 9% organic sales decline in the first quarter, while our EMEA business, which is primarily in the established Western European economies experienced an organic sales decline of approximately 8%. Segment profit in the Workplace Safety global platform was $18.4 million in the quarter compared to $27.8 million in last year's first quarter. As a percent of sales, segment profit was 18.8% this quarter, compared to 25.4% in last year's first quarter. As anticipated, we are seeing a degradation in our segment profit margins due to increased pricing pressures, changes in our mix, higher short-term conversion costs associated with facility consolidation efforts, and most importantly, the strategic investments that we're making to return this business to growth. In conjunction with our organizational change to global business platforms, we have refined our strategy by focusing on and investing in key items outlined on Slide 14. In addition to expanding catalog advertising across all geographies, our strategy involves 4 focus areas. First, we are expanding our focus on e-commerce. We have been accelerating investments in digital capabilities, as customers are increasingly buying over the web and are becoming more price-conscious. In order to succeed over the long term, we are continuing to improve our customers buying experience and need to convert more customer visits and inquiries into orders. Second, we are expanding our offering of Workplace Safety products to niche segments within the Workplace Safety industry. By expanding the scope of products offered, we can leverage our broad customer reach and compliance knowledge to provide greater opportunities for organic growth around the world. Third, we're enhancing our industry-specific expertise in Workplace Safety critical industries. And fourth, we are adjusting our pricing strategies. The above strategies are delivering a number of positive signs. Orders per day are increasing significantly in response to our enhanced digital experience, expanded product offering and more dynamic pricing. New to file customers continued to increase, which is a positive signal for the long-term health of our business. Our digital traffic and digital revenue are growing in all regions. As we look to the remainder of fiscal 2014, we continue to expect decline in organic sales in quarter 2. In addition to executing our core strategies, we are focusing our efforts on increasing customer retention and average order value within our core business to ensure that our growing customer file and order trend deliver sustainable profitable growth. Once our growth initiatives take hold, we expect improving organic sales trends in the second half of fiscal 2014, thus resulting in slightly negative full year fiscal 2014 organic sales. We believe that our strategy and significant amount of incremental investment is the right thing to do, and will put this business on a path to long-term organic growth. I'll now turn the call back to Tom.
Thomas J. Felmer: Thanks, Scott. Before moving on to questions, let me summarize the key points from today's call. Our focus is on returning our total business to organic growth. We have accelerated investments, including creating more capabilities for our websites and the launching of new products in our Workplace Safety business. In ID solutions, we are increasing our sales force and expanding our focus on strategic and focused market accounts and also, once we execute the sale of Die-Cut, we will build a business in Asia that is focused in ID Solutions. Lastly, we have a renewed energy and vigor in improving our business. Although we are not anticipating significant organic growth for the full fiscal '14, we see that our investments are gaining traction and that we will deliver growth in the second half of this year. Let's now start with the question and answers. Operator, can you please provide instructions for our listeners?
Operator: [Operator Instructions] Our first question comes from Jason Ursaner with CJS Securities.
Jason Ursaner - CJS Securities, Inc.: Just first on the Asia Die-Cut business. Even without the depreciation, it looks like the strongest quarter since probably going back to Q1 of '12. So just wondering what the margin profile is like for the quarter, and maybe what drove it.
Thomas J. Felmer: I'm sorry, Jason. Can you repeat that question. You were breaking up a little bit.
Jason Ursaner - CJS Securities, Inc.: Sure. I was just asking about the Asia Die-Cut business, it looked like one of the strongest quarters you've had in a few years there. So what was the margin profile like for the quarter?
Stephen Millar: Sure. Jason, this is Stephen Millar. The margin profile we've seen is actually similar to what we've seen previously. I think the other part of your question was, what's driving that? And we've been focusing on, as we always have, key customer wins and really efficiency in our operations in terms of how we're making the parts. So it's really just a continuous improvement focusing on the customers, and that's driving things.
Jason Ursaner - CJS Securities, Inc.: Okay. And then in the Workplace Safety segment, you guys accelerated investment as part of the priority to return it to growth. Specifically on the e-commerce platform, are those primarily back-end database type improvements? Or is it more user interface-focused?
Thomas J. Felmer: Scott, can you answer that?
Scott R. Hoffman: Sure. Jason, the e-commerce investments that we're making really tied to a couple of things. First of all, we've ramped up our account in the e-commerce side of our business, so we've added about 15 positions in the last quarter. So we've also ramped up our, what I would call our demand generation activities, things that would drive in traffic to our website. That's pretty evenly spread across the year. And then we've been working on things around our customer's experience, our site performance as an example. Those tend to be a little bit more front-end weighted in terms of investments. An example of that would be throughout the year, we're actually taking our 7 highest producing digital sites that are all are under different digital platforms and we're consolidating that in a consistent way to one standard platform. And what that would do is allow us to get a real consistent scalability of our actions that we'll be taking over the mid-to long-term with our customer experience in our site performance. So I would say, overall, a pretty even spread of investment across the year with a little bit more weight on the front end as we ramp up some of the IT infrastructure and some of the talent coming on board.
Jason Ursaner - CJS Securities, Inc.: Okay. And it's mostly between the Brady, Seton and Emed brands? Or it's including the non-core MRO ones as well?
Scott R. Hoffman: Yes, great question. No, mostly, over the near term, near term meaning this fiscal year, it will be the Seton brands and the Emed brands, correct.
Thomas J. Felmer: I just want to add, the focus of -- in Scott's business, Workplace Safety, is around the e-business platform capability. We've been talking about that for some time. But it's also important to note that in Matt's business, in ID solutions, we're also making investments there as we find that more and more customers look to the web first to learn about products, to understand what they need. So there are also some investments going on, on the Brady side as well, as you mentioned, Jason.
Jason Ursaner - CJS Securities, Inc.: Okay. And just last question, the tax rate of 32% in the quarter guiding mid- to high-20% for the full year. Just, was there anything specifically that drove it higher in Q1 that would kind of move away as you move throughout the year?
Thomas J. Felmer: No. I mean, it's just -- the way the tax structures work, it does come through the organization fairly lumpy. And as we mentioned in the comments earlier, we expect the tax rate to be a little higher in the first half of the year than the second half of the year. But there's no particular thing that was worthy of being called out.
Operator: Our next question comes from Mig Dobre with Robert W. Baird.
Joseph M. Grabowski - Robert W. Baird & Co. Incorporated, Research Division: Joe Grabowski sitting in for Mig. Maybe starting on Workplace Safety. I mean, Scott, did I hear you say that orders per day were actually up in the quarter?
Scott R. Hoffman: Yes, we saw 2 positive -- really positive signals. Orders per day were up for the quarter for those things that we impacted with some of our pricing actions, the digital actions. And then the second very positive trends was something we call new to file, which is basically new customers coming in to our business, that was also up double digits for the quarter.
Joseph M. Grabowski - Robert W. Baird & Co. Incorporated, Research Division: Okay. So does that sort of imply that the average order size was down fairly materially? And if so, was that driven by sort of price per unit or units per order? How do I kind of think about that?
Scott R. Hoffman: Yes, it's a good read. We expected, with some of our pricing actions, our average order value to decline. It declined a little bit more than we would have expected, so your read is correct. So the job forward is now that we're bringing new customers into our business and are ramping up our orders, as you get those new customers to order a second time and make sure we've got all the right campaigns and actions to make sure that we're getting full value out of our full product line with new customers coming into our business as well, thus increasing the average order value.
Joseph M. Grabowski - Robert W. Baird & Co. Incorporated, Research Division: That makes sense. So should we kind of think about this quarter sort to be in the low watermark as far as year-over-year organic change?
Scott R. Hoffman: Pretty consistent to the comments I shared last quarter, so we're seeing, I would say, the first 2 quarters being negative organic growth and then that flipping in the second half of the year. And then profit will follow that.
Joseph M. Grabowski - Robert W. Baird & Co. Incorporated, Research Division: Great. Okay, great. And then maybe real quick on ID Solutions. Matt, you talked a little bit about why the margins are down maybe 200 basis points even backing out PDC. Could you maybe expand on that a little bit, with the year-over-year deltas, where in margin? And then, how should we kind of think about it going forward?
Matthew O. Williamson: There's 2 points on profit, but looking at that the basis of that, we would expect that to be flat going forward. But in the quarter, we really had a high quarter in the Americas last year driven by a couple of onetime things, one being cost savings or lower cost on a particular raw material in our assortments business and another in the SG&A area. So those we would not expect to repeat. Brazil was worse than we had thought, so that impacted it as well. So we had expected Brazil to improve going forward and those other costs that were one timers would not repeat also.
Operator: [Operator Instructions] Our next question comes from Joe Mondillo with Sidoti & Company.
Joseph Mondillo - Sidoti & Company, LLC: Just one question on the cost side of the business. The administrative cost were a little higher than I expected. I assume that was partially or mostly maybe due to the higher compensation that you talked about on the last call. Just wondering, is this sort of $33 million sort of a run rate? And also, is there any sort of seasonality amongst the quarters in that line?
Aaron J. Pearce: Yes, Joe. This is Aaron. I can field that question. A small piece of it clearly does relate to the increased incentive compensation that we talked about. Actually, if you strip out PDC, we were effectively flat from an SG&A perspective. But we did have some headwinds with the incentive comp, and then we also, of course, have been increasing investment in our businesses, primarily in the WPS business. So would we anticipate this level to continue into the future? We would. So if you look at our SG&A level, I think we're at about $113 million in the quarter. We would anticipate that we'd be somewhere in that range for the remainder of the year as well.
Joseph Mondillo - Sidoti & Company, LLC: Okay. And is there any fluctuation quarterly amongst that administration cost line?
Aaron J. Pearce: Not materially. I mean, we've seen some historical fluctuations, which was based on incentive compensation, but we certainly don't anticipate that this year.
Joseph Mondillo - Sidoti & Company, LLC: All right. And then the $30 million restructuring that you're going to see this year, could you just talk about what kind of payback period you expect them at?
Aaron J. Pearce: Yes, I can. We've talked about $30 million of restructuring charges, $25 million of which would be cash. And then we've also articulated a $10 million benefit starting in fiscal 2015. So if you look at it on a cash basis, it's about a 2.5-year payback, which clearly is longer than some of our historical restructuring charges. However, these are some -- I'll say some of the bigger ticket items, facility consolidation actions, which are typically a bit more tricky than historical restructurings.
Joseph Mondillo - Sidoti & Company, LLC: And where are we going to see that $10 million benefit, which segment? Or is it evenly split between...
Aaron J. Pearce: Yes, it is.
Joseph Mondillo - Sidoti & Company, LLC: Okay. And then just lastly, I was just wondering, big level -- the big picture question, just in terms of the reorganization, now that you've gotten through a couple of quarters with this reorganization, what are the sort of 1 or 2 major advantages of each segment now, now that it's sort of structured the way it is? If you could just give any sort of examples and how it's going to sort of provide any top line synergies?
Thomas J. Felmer: Yes. Thanks, Joe, it's a great question. There's really one major benefit in each of the 2 platforms. In the ID solutions business, clearly the benefit there is a much, much stronger alignment with R&D, with the business units. In the past, we had 3 regions of the world all vying for R&D resources, and sometimes they were coordinated and sometimes not as well as maybe they could have been. And now that we have Matt leading the Global business for ID Solutions, we can -- focus on bigger opportunities. We're seeing R&D looking -- or starting to have a tighter relationship in the business, and we believe that long-term that's going to lead to faster product development, some bigger developments and just much better alignment with the business. So that's where we're seeing the biggest benefit there. And in the Workplace Safety, we've talked about this historically, that the organization is growing up very successfully over the years as a decentralized set of businesses. We're very successfully operating in multiple countries or one country at a time, but when you're doing things like trying to build web capability, you just really lack the scale to do it one country at a time. And now, under Scott's leadership, we're able to bring all the Direct Marketing businesses together, coordinate the resources, consolidate on one primary platform, we have the ability to bring in more and better talent, they're focused on common issue. And then what we can do is personalize each of the websites in country for the needs of the country. But the infrastructure is aligned and common behind that business. So, those, I think, by far are the 2 biggest advantages we're seeing with the restructuring and the reorganization.
Joseph Mondillo - Sidoti & Company, LLC: Okay, great. And then just as a follow-up to that question, in terms of the actual synergies that you're seeing on the top line with both -- it sounds like Workplace Safety, you've already started to maybe see some synergies, but part of it sounds like it's mostly pricing. So just wondering sort of how does that flow or how is the trajectory of the synergies on the top line related to what you just sort of said, amongst each?
Thomas J. Felmer: I think it's consistent in Scott's message, a lot of the work they are putting into the web capabilities, there's been a -- we started the infrastructure build and consolidation at the end of last fiscal year. They're making nice progress today, and we expect to see that business return to organic growth in the second half of this year. So it's been -- you just see that as a time, it takes 6 months or so to really start seeing the impact, but as Scott mentioned with some of the early metrics on new to file customers and things like that, we are seeing the benefit already. But I think it will start showing up in the income statement in the second half of the year. With Matt's business, what you're seeing, I think to get the alignment to new product development, that takes -- the real synergy of that will likely take a fiscal year or maybe even 2 to get the full benefit of that. But what we're also saying is, this is the -- we've mentioned that the addition of the sales force -- of the sales resource is really just adding fuel to businesses that have been performing pretty well already and taking a look at it that way, I think we're making some smarter investments there. We're also building out a global strategic account program, which it's easier to do when you have the entire global organization under one leader and we expect that to show benefits this year already. So some of it is -- Matt's is more shorter terms in terms of adding sales resources and it'll be a little bit longer term in getting benefit out of the new product development and the innovation processes.
Operator: [Operator Instructions] We currently have no -- my apologies, we have now a question from Joe Mondillo.
Joseph Mondillo - Sidoti & Company, LLC: I just had a couple of follow-up questions and since that no one else has any questions, I figured I'd ask them. I think last quarter, you mentioned that you expect margin to be down about 300 basis points at the Workplace Safety this year. Is that still holds, given what we saw in the first quarter? Or how are you looking at that?
Scott R. Hoffman: Yes, Joe, that definitely still holds based on what we've seen in the first quarter.
Joseph Mondillo - Sidoti & Company, LLC: Okay. And then ID Solutions, if you could give an idea of just sort of how you structure, I mean, I guess, how many product categories you have in that business? And if you could give an idea or a little more color on sort of what product categories are performing better than others?
Matthew O. Williamson: Sure. Okay. So you have 3 primary product categories in the Brady Brand business. You have wire identification, safety and facility identification and product identification. And those are the 3 broad product platforms under the Brady Brand. Then we have the PDC products, which are healthcare-related products, aligned with the fifth category, which are people identification, and we've brought those together. So you have 5 in total with the PDC business being primarily healthcare identification, they have some others as well. And we've linked those together because in total, they really, for the most part, are people identification. And PDC it's all about safety of patients and then the Brady People ID business now aligned with that, essentially about access control into facilities and events and so on. So if you look broadly over time, our best performing business on the Brady side has been wire identification. And then second to that, you'd have product ID and safety and facility ID. They vary from quarter-to-quarter, of course, but that gives you a high-level understanding there.
Joseph Mondillo - Sidoti & Company, LLC: Okay. And then, I guess, PDC and People ID are a little -- is that just a little more sluggish, maybe not necessarily a downturn? But is that being affected at all by what's going on in healthcare? Maybe just a little more color on that?
Matthew O. Williamson: Sure. So on the PDC side, they certainly have been impacted by what's going on in the healthcare world, hospital admissions, particularly. So we're looking at different approaches to address that. So they've definitely been affected by that, but at the same time, our business on an international basis, in both healthcare and in the leisure and entertainment side of the business has been pretty positive. Our People ID business, actually, not really strongly related to impact on healthcare, it's one of the markets they go after, it's a little more diverse than the broader PDC business in terms of selling to a number of institutions, education, government, industrial, as well as healthcare, so their business has performed from a sales standpoint to reasonably well over the course of the last year.
Joseph Mondillo - Sidoti & Company, LLC: Okay, great. And then, in terms of, I mean, you mentioned on your prepared remarks, I think, Tom, the balance sheet is still strong. How do you look at use of cash as of right now? And are you still sort of in a transition phase within this reorganization. So maybe in terms of acquisitions still put on the back burner? Or how are you looking at that?
Thomas J. Felmer: Yes. When you look at the use of cash, we've always felt long-term the best use of cash is investing in our organic business, and this is a year we're really taking advantage of that in making the investments in Workplace Safety and I'd still like to make even more investments in R&D as we move forward, that remains our top priority. In terms of the balance between typically where people ask us is between share buybacks and acquisitions. And right now, we just made the largest acquisition in the company's history in PDC. We've talked about it getting off to a bit of a slow start as we integrated an ERP system, but we feel very good about where it is today. And we're just -- our focus is on making sure that, that gets integrated well and that we drive value with that acquisition and it's been a big project for us. So that remains our top priority. I still believe that acquisitions are a part of our strategy going forward, but we've said, we're going to be -- we're going to take our time before we make -- maybe, make our next one. So we still look at share buyback from time to time, and I would say that's consistent with what our message has been and how we feel about it today.
Joseph Mondillo - Sidoti & Company, LLC: Okay. And then I just have one last question. In term -- regarding Workplace Safety, just wondering what your thoughts are: One, on the product portfolio itself; and then two, if you could give a little more color on just sort of pricing, what your competition looks like? Is your pricing now sort of do you think is in a much better spot in terms of industry and your competition? And is there any sort of risk going forward that we continue to sort of just see an erosion of price within the industry itself? Just a little more commentary on that, that would be really helpful.
Scott R. Hoffman: Joe, let me start with the last part of your question. Pricing we took some sort of broad strokes over the last quarter or so, so we think our pricing is very much in line with the market. We put some pricing capabilities tools, talent in place over the last quarter as well, that will allow us to be far more surgical with our pricing actions moving forward. But -- so the essence of your question, we kind of take those broad strokes and now we believe we're within where the market needs to be. Relative to product portfolio, what we've heard from our customers when we've built our strategy a while back was -- we basically heard from our customers that it's advantageous to add other parts of the safety product line in addition to things that the customers would know as Best Buy, which was safety identification products. So this fiscal year, we're adding between 12,000 and 15,000 SKUs around broader safety products that our customers are basically saying, "Hey, if you want to occupy a larger part of my buy, my mind share, we need you to play in the broader space, which means expanding your product portfolio.", which is exactly what we're doing.
Joseph Mondillo - Sidoti & Company, LLC: And -- okay. And then just a comment on the pricing itself. In terms of when you just look at the overall industry, how do you feel about sort of the risk that just the industry is just experiencing this sort of secular erosion of price given the web platforms amongst the industry and all the competition that's coming online. Are we -- is there a possibility that we have to take a reset of price downward in 6 to 12 months? How are you feeling about that?
Scott R. Hoffman: No. I think the short answer is, no. I mean the obvious answer changes by market, by country, et cetera. But the short answer is, no, I don't see a significant shift downward in market-based pricing. You're correct though, when you comment on that pressures are driven as we see it primarily from the model changing to much more of a digital model, and that's creates the transparency. So I think we'll continue to see pricing pressures as the model continues to evolve to be more a digital channel driving it, but not a step change.
Thomas J. Felmer: Joe, one thing I'd like to add to that is, there's still a large part of the product offering that Scott has that's customized and personalized. And we believe long-term for us to win in this business, we still need to ensure that we're offering differentiated products. So in the short term, maybe we're adding some SKUs to round out the product line. But even as we expand the offering, we're going to continue to focus on differentiation and innovation in this space. And that's just consistent with what Brady's been about for many, many years. So we've made the shift, we've talked a lot about pricing, really, just to get a reset from a competitiveness standpoint, I don't think we see any macro trends around pricing. But again, our future is really going to -- success is really going to depend on our ability to differentiate and innovate in this space.
Joseph Mondillo - Sidoti & Company, LLC: Okay. And then just lastly, the CEO position, Tom, what's the updates there?
Thomas J. Felmer: I really -- obviously, I can't comment on that. That's -- I'm still the interim CEO, and the Board is working through their process. And their goal is to make sure we get the best person in place to lead the company for the long-term. So I'm just being diligent about their process right now.
Operator: We have no further questions. I would now like to turn the call back over to Mr. Pearce. Please proceed.
Aaron J. Pearce: Thank you. Thank you for your participation today. And as a reminder, the audio and slides from this morning's call are also available on our website at www.bradycorp.com. And the replay of this mornings conference call will also be available via the phone beginning at 11:30 a.m. Central Time today, November 21. The phone number to access the call is 1 (888) 286-8010 or (617) 801-6888, and the passcode is 27606457. As always, if you have questions, please call us. Thanks. Have a great day. Operator, can you please disconnect the call?
Operator: Sure. This concludes today's conference. You may now disconnect. Have a great day.